Operator: Greetings. Welcome to China Automotive Systems' Fourth Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now turn the conference over to Kevin Theiss. Mr. Theiss, you may now begin.
Kevin Theiss: Thank you, everyone, for joining us today. Welcome to China Automotive Systems' 2018 Fourth Quarter and Fiscal Year Conference Call. Joining us today are Mr. Qizhou Wu, Chief Executive Officer; and Mr. Jie Li, Chief Financial Officer of China Automotive Systems. They will be available to answer questions later in the conference call with the assistance of translation. Before we begin, I will remind all listeners that throughout this call, we may make statements that may contain forward-looking statements. Forward-looking statements represents the company's estimates and assumptions only as of the date of this call. As a result, the company's actual results could differ materially from those contained in these forward-looking statements due to a number of factors, including those described under the heading Risk Factors in the company's Form 10-K annual report for the year ended December 31, 2018, as filed with the Securities and Exchange Commission on March 28, 2019 and in other documents filed by the company from time to time with the Securities and Exchange Commission. The company expressly disclaims any duty to provide updates to any forward-looking statements made in this call, whether as a result of new information, future events or otherwise. On this call, I will provide a brief overview and summary of the financial results for the 2018 fourth quarter and 12 months. Management will then conduct a question-and-answer session. The following 2018 fourth quarter financial results are unaudited and the fiscal year results are audited. These results are reported under U.S. GAAP for the purposes of our call today, I'll review the financial results in U.S. dollars. We will begin with a review of the recent dynamics of the automotive industry and China Automotive's market position. China's GDP growth in the fourth quarter 2018 slowed to 6.4% from 6.5% in the third quarter and from 6.7% in the second quarter. This slowing GDP growth has been the weakest growth in the last decade. Fourth quarter industrial production was the slowest quarter in 2018. According to the data reported by the China Association of Automobile Manufacturers, CAAM, in the fourth quarter 2018, the sales of passenger vehicles declined by 15.5% year-over-year with December sales of sedans down 14.3% year-over-year. SUV sales were down 16.3% year-over-year and MPV models were down 16.3% year-over-year. For the 2018 year, passenger vehicle sales were 23.7 million units, down 4.1% year-over-year. Chinese brand automaker sales declined by 8% year-over-year and lost market share. Sales of commercial vehicles increased approximately 1% year-over-year in the fourth quarter of 2018. The traditional diesel bus market recorded a decrease in unit sales in the fourth quarter of 2018 year-over-year as did diesel truck sales, except heavy-duty truck volume. Commercial vehicle sales were approximately $4.4 million in the 2018 year, up 5.1% despite bus sales declining by approximately 8%. It is believed that new government standards maybe announced to improve sales in the automobile industry as total car sales decreased 18% in January 2019 compared to January of 2018. Credit curves and volatile stock prices affected consumer confidence and spending behavior. In addition, in 2018, the vehicle tax levy was raised from 7.5% to its former standard of 10%. Slower economic growth, combined with higher tax levies, affected passenger vehicle sales in the 2018 fourth quarter and fiscal year. Net sales of our traditional hydraulic steering products continue to lead our sales as our sales increased by 1.7% in 2018 year. Net sales of our electric power steering, EPS products, in 2018 declined by $12.8 million to $107.9 million and represented 21.9% of total sales revenue. We have made several strategic moves to improve our operations and growth opportunities in the future. We created a new joint venture Hubei Henglong KYB Automobile Electric Steering Company, Hubei KYB, with a subsidiary of Japan KYB Company Limited, for the development and production of a number of EPS systems. We have transferred all our EPS business to our joint venture. Our new joint venture facilities are in operation at our compound in Jingzhou city. We are confident that our new joint ventures focused on EPS will enhance our market position in China and generate stronger export sales. We also entered into a new joint venture with Hyoseong Electric Company - Hyoseong Electric to design, manufacture and sell electric motors for automotive EPS. This new joint venture will provide better cost control and quality for CAAS's joint venture EPS products. In March 2019, we announced that Great Wall Motor Company Limited, one of China's leading auto producers, awarded to us an exclusive supply contract for EPS systems to steer Great Wall's new all electric small vehicle model ORA R150. Total shipments are expected to reach 150,000 units in 2019. Furthermore, one of our Tier 1 customers in North America awarded us a development program for a new recirculating ball, RCB steering system, i-RCB program, for use in that company's autonomous vehicle product development. Mass production of these products is expected to start in August 2019 with annual sales approximating 45,000 units. Our export sales grew by 22.3% in 2018 year-over-year, representing approximately 28.5% of total sales in 2018. Most export sales were our advanced hydraulic steering products to our two U.S. Tier 1 OEM customers that supply vehicles in North America. In 2018, we received the Q1 Award from Ford North America, which is the highest supplier honor from Ford. Fourth quarter 2018 gross profit was $11.4 million and the loss from operation was $9.9 million. Net loss attributable to parent company's common shareholders was $3.2 million in the fourth quarter 2018 compared to $39 million in the fourth quarter 2017. The loss in the fourth quarter 2017 was primarily due to a onetime accrued tax of $35.7 million mandated by the 2017 U.S. tax reform and accrued withholding tax of $4 million related to the planned dividend distribution from PRC subsidiaries in order to fulfill the payment of a onetime accrued tax. Diluted loss per share was $0.10 in the fourth quarter of 2018 compared to a diluted income per share $1.23 in the fourth quarter of 2017. Research and development expenses were $10.2 million in the fourth quarter 2018 and $33.6 million for 2018 year, mainly for our EPS technology and developing other new products, such as our advanced driver assistance systems, ADAS, for the future. As of December 31, 2018, total cash and cash equivalents, pledged cash and short-term investments were $133.5 million. Net cash flow from operating activities was $12.5 million in 2018. Investments in property, plant and equipment was $24.8 million in 2018, mostly to develop our EPS joint venture. China's National Development and Reform Commission has announced new monitoring centers for trading in wheels - vehicles compliant with older emission standards in compact vehicles in the rural areas. It also includes lower taxes on used-car transactions. As the world's largest automobile market, China experienced its first downturn in 28 years. The plan will subsidize replacement of cars conforming to 2007 emission standards in cars with engines of 1 point liters or smaller for rural areas. We have a broad product portfolio of steering products, which continues to expand and add technology. In addition to the over 60 premier customers in China, we provide high-quality, high-performance and highly reliable steering products to customers in North and South American markets. Our new EPS joint venture will enhance our market share in China as well as create new opportunities internationally. Now let me review the financial results for the fourth quarter of 2018. In the fourth quarter 2018, net sales were $124.3 million compared to $143.7 million in the same quarter of 2017. The net sale decrease was mainly due to the weaker Chinese auto market in the fourth quarter of 2018 compared with the fourth quarter of 2017. Gross profit was $11.4 million compared to $16.4 million - $16.5 million in the fourth quarter of 2017. The decrease in gross profit was primarily due to the decrease in net sales and change of product mix. Gross margin in the fourth quarter of 2018 was 9.2% compared to 11.4% in the fourth quarter 2017. Gain on other sales was $1 million compared to $1.7 million in the fourth quarter of 2017. Selling expenses were $4.9 million in the fourth quarter of 2018 compared to $6.8 million in the fourth quarter of 2017. The decline was primarily due to lower transportation expenses related to decreased volume. Selling expenses represented 3.9% of net sales in the fourth quarter of 2018 compared to $4.7 million (sic) [4.7%] in the fourth quarter of 2017. General and administrative expenses increased to $7.2 million from $5.5 million in the fourth quarter of 2017. G&A expenses represented 5.8% of net sales in the fourth quarter of 2018 compared to 3.8% of net sales in the fourth quarter of 2017. The increase in G&A expenses and G&A expenses as a percentage of net sales in the fourth quarter of 2018 was mainly due to lower net sales and higher personnel costs. Research and development expenses were $10.2 million in the fourth quarter of 2018 compared to $9.9 million in the fourth quarter of 2017. R&D expenses represented 8.2% of net sales in the fourth quarter of 2018 compared to 6.9% in the fourth quarter of 2017. Loss from operations was $9.9 million in the fourth quarter of 2018 compared to a loss of $4 million in the fourth quarter of 2017. The higher loss was mainly due to lower sales and a decline in the gross profit compared to the fourth quarter of 2017. Net financial income was $1.2 million in the fourth quarter 2018 compared to $0.2 million in the fourth quarter of 2017. Net loss attributable to parent company's common shareholders was $3.2 million in the fourth quarter of 2018 compared to $39 million in the fourth quarter of 2017. The loss in the fourth quarter 2017 was primarily due to a onetime accrued tax of $35.7 million mandated by the 2017 U.S. tax reform and accrued withholding tax of $4 million related to the planned dividend distribution from PRC subsidiaries in order to fulfill the payment of a onetime accrued tax. Dilutive loss per share was $0.10 in the fourth quarter of 2018 compared to $1.23 in the fourth quarter of 2017. The weighted average number of diluted common shares outstanding was 31,645,510 in the fourth quarter 2018 compared to 31,646,897 in the fourth quarter of 2017. Now let me go over the results for 2018 fiscal year. Annual net sales were $496.2 million in 2018 compared to $499.1 million in 2017. The overall decrease was mainly due to lower sales of EPS systems, partially offset by higher sales of advanced legacy hydraulic products. EPS sales represented 21.7% of total revenue in 2017. Gross profit in 2018 was $65.4 million compared to $84.6 million in 2017. The decrease in gross profit was primarily due to lower net sales, a change in product mix and higher raw materials. Operating loss was $2.9 million in 2018 compared to operating income of $19.3 million in 2017. The decrease is primarily due to lower gross profit in 2018. Net income attributable to parent company's common shareholders was $2.4 million in 2018 compared to a net loss attributable to parent company's common shareholders of $19.3 million in 2017. Diluted net income per share was $0.08 in 2018 compared to diluted loss per share of $0.61 in 2017. Our balance sheet highlights. As of December 31, 2018, total cash and cash equivalents, pledged cash and short-term investments were $133.5 million. Total accounts receivable, including notes receivable, were $256.3 million, accounts payable were $210.1 million and bank and government loans were $61.2 million. Total company stockholders' equity was $285.9 million as of December 31, 2018 compared to $299.4 million as of December 31, 2017. To date, a total of 146,281 shares have been repurchased for consideration of $0.8 million under repurchase program approved on December 5, 2018. Net cash flow from operating activities was $12.5 million in 2018. Business outlook. Management has provided revenue guidance for the full year 2019 of $510 million. This target is based on the company's current views on operating and market conditions, which are subject to change. With that, operator, we're ready to begin the Q&A session.
Operator: Thank you. [Operator Instructions] Thank you. First question is from the line of William Gregozeski with Greenridge Global. Please proceed with your questions.
William Gregozeski: Hi. I have a few questions. Looks like your domestic sales fell 7.5% on 2018, which was below the - or more than the industry decline. Can you talk about how your market share is looking with the domestic OEMs?
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So first is on EPS side. There are a lot of old model, we have about - over 1 million old models - vehicles used our EPS products. Those are - these old models are not - no longer in production. However, the new models, they have not started their new model here, so there was a gap between this product transition, so causing our EPS sales decline during 2018. So that's been driving now the overall sales volume. On the other hand, on the mechanic steering, those are - sectors are going to some price - intensify price competition. So there are some companies are desperately fighting for survival. So we have been affected due to this competition.
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So on the other hand, our others areas business have been stable and had a pretty solid performance in 2018. For instance, our export business, it's been doing very well. Other steering products that serve into the commercial vehicle has been doing very well as well. So just - that's a mixed result that are largely due to EPS and to a certain degree the price competition in the mechanic hydraulic - mechanic steering system.
William Gregozeski: Okay. With regard to your guidance, can you talk about what the split would be then between domestic revenue and international revenue?
Unidentified Company Representative : [Foreign Language]
Unidentified Company Representative : [Foreign Language]
Unidentified Company Representative : In terms of breakdown of the guidance, the international sales is probably flat year-over-year, the remaining are domestic. So let me give you some color why is international side of business is flat. I mean, as you know that we're still in the midst of U.S. and China trade dispute. And so we're still closely following decisions and being very optimistically cautious. On the other hand, our customers are - in terms of their product launch, there are a of product - talking about customers in North America, there are a number of products, their launch is going to be in 2000 - new models 2020. So we already got those contracts. But due to - 2020 is a high product launch year, 2019 in comparison are lighter - going to be lighter. So only Chrysler has a new model working on for 2019. So we expect '19 international sales will be flat for that reason.
William Gregozeski: Okay. With regards to gross margins, was down quite a bit in the fourth quarter from the year ago period, and the year ago period's had a pretty big warranty charge. Can you talk about where are these big declines in margin are coming from? And what your outlook on margins is for the next 2 years?
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So there are four reasons negatively affect the gross margin, four factors in 2018 fourth quarter. First is the pricing. We have a price decline, ASP drop in the fourth quarter. Secondly, the costs have gone up, that's also affecting the margin. Thirdly, the warranty has gone up. The last one is the - [Foreign Language]
Unidentified Company Representative: Foreign exchange.
Unidentified Company Representative: ForEx has impact for the - for our gross margin as well, foreign exchange. So combining those four, we're having an exceptionally weak gross margin in the fourth quarter. Going forward, we're going to adjust our pricing, and also, we're going to reduce cost. So we believe we're going to be able to turn a positive side to grow back the gross margin.
William Gregozeski: Okay. And my last question is just on the operating expenses. G&A and R&D were up quite a bit in the fourth quarter. Is that - are those figures are a percentage of sales that are going to be something we can look forward going forward? Or were they just abnormally high for some reason?
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: So in the G&A category, we were experiencing some higher expenses, mainly due to the legal expenses associated with go-private proposal. So that's a sort of onetime event, now it's behind us. And so we'll see the G&A expenses will recover. In total percentage of revenue, G&A as a percentage of revenue will start to improve. And we're also proactively rolling our programs to streamline our cost management and cut down basically - we're cutting down a lot of different expenses. So you should expect G&A expenses category will improve going forward in 2019. On R&D side, we are also closely - we have reviewed projects and looking at their performance, and we're going to cut back on a few projects or number of projects which are not giving a proper satisfactory return for us. So we're going to reduce some of the projects. So you should see R&D as a percentage of revenue will start to reduce as well - go down as well. So we should have improvement there in 2019.
William Gregozeski: Okay. Thank you, guys.
Unidentified Company Representative: Thank you.
Operator: The next question comes from the line of Ed Sollbach with Spartan. Please proceed with your question.
Ed Sollbach: Hello?
Unidentified Company Representative: Yes, go ahead. You're on the line.
Ed Sollbach: Yes. I'm just wondering if you can give us some color on what cars you're in globally? And what systems and cars both in China and Europe, North America, so we get an idea of what's driving the sales? Yes, that's it.
Unidentified Company Representative: Your question is what kind of vehicles are - is brought in?
Ed Sollbach: Yes, make and model.
Unidentified Company Representative: Make and model. You mean in North America or in China?
Ed Sollbach: In both.
Unidentified Company Representative: Okay. This is a big question. [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: So on the North America side, we have Chrysler. We supply to Chrysler's Jeep Wrangler vehicles and believe we are exclusive on the Jeep Wrangler steering systems. Also, we're exclusive on the Dodge RAM models - all different models on the Dodge RAM. And on the Ford side, we supply to the pickup trucks. And also, domestically in China, we supply to just about all major automakers, which include Dongfeng Auto, JAC, Changhe, which is - those are the large - those three are large commercial vehicles supplier - commercial vehicle producers. Also, FAW, that's the largest truck maker in China. On the passenger side, in China, we supply to Chery Auto, we have a joint venture with them. We supply to Brilliance Auto, we have a joint venture with them. We also supply the bestseller in the last couple of years to Geely. We supply to Great Wall, the largest SUV producer in China, and more. So we have about 60 - 50 to 60 customers in China, those are OEM customers.
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Yes. Anything else?
Ed Sollbach: That's good color. So is - can you maybe talk briefly about the opportunities you have in North America? And I guess, there's nothing in Europe, is that correct?
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. We are continuing to pursue opportunities in the North America. We see the opportunity lies in AI, artificial intelligence-driven product and anything with autonomous driving, the quality steering mechanic system to support that. We are working on that as well. So we think it's a - that's the new growth area for us to target.
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. Also with Ford Motor, we are - we have a pretty good track record than we have now. We won the quality award recently. We've done a number of model development and we secure - meanwhile, the quality has been top-notch. They have been very pleased with the progress. And so we expect, on Ford side, we should see some more purchase order coming in. So some new purchase order come in, yes.
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. In Europe, we are - we have a project number 206. We're working with Fiat. This is a 2020 model for Fiat vehicle. We are doing some testing right now. I think the mass production will begin in the first quarter 2020.
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. There is another angle we can play for the European vehicles. We are -- we grew there in the European headquarter, we are now discussing with some of this European automakers, Asia branch. So we hope we can open up another channel for our growth in the local markets. [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So that should answer your question, right?
Ed Sollbach: Yes. Just - yes, that's really good. And are you part of any electric vehicle programs that are going on globally? That's the last question.
Unidentified Company Representative: Electric vehicles, okay. You want to know in terms of electric vehicle, right?
Ed Sollbach: Yes.
Unidentified Company Representative: Okay. [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: On the EV side, mostly our product will be electric power steering, what we call EPS. And EPS, of course, has both installment - I mean, installation in old - in the traditional combustion engine-powered vehicle as well as electric vehicle. So for electric vehicle we see the future growth opportunity even more. And so also on mechanic, the power steering systems were now using this product to partner with some of the software and the other technology company to integrate our mechanic steering systems. So we are in different channels working with electric vehicle producers.
Ed Sollbach: Okay.
Unidentified Company Representative: Thank you very much.
Operator: Thank you. Our next question comes from the line of Tracy Li with HSBC.
Tracy Li: Hello? Hello? Can you hear me?
Unidentified Company Representative: Tracy, your are on the line.
Tracy Li: Hi. This is Tracy from HSBC. Thank you for taking my question. So my first question is that, can you get me a quick breakdown for the margin by products and also by region?
Unidentified Company Representative: By region, right, China and Europe and the U.S.?
Tracy Li: Yes, regions and also by products.
Unidentified Company Representative: Okay. [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So the margin - gross margin for the international market is about 20%, domestic market is about 13% to 15%. On the products breakdown, the HPS, RCB product, the margins are higher and EPS margin is lower. So it's - EPS is about 10% and HPS is over 20%.
Tracy Li: Okay. Thank you. So a follow-up question on the margin. So why our EPS margin is lower than the traditional products? Is it because we see more competition in the EPS space because we are actually seeing a lot of, like, international steering leaders are taking orders from the domestic OEMs in China? So can you also talk like the EPS competitive landscape in China now?
Unidentified Company Representative: Okay. [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. Really for EPS having lower margins in traditional products is partly due to the price competition. The other thing is mostly due to the fulfillment in the -- because we are still procure a lot of components from the other suppliers, outside of this system - ecosystem. So that's why we are - for years, we have formed a joint ventures with our Asian partners to tackle this problem. So going forward, I believe our margin will improve on the EPS side as well.
Tracy Li: Okay. Thanks. And last question is related to the -- our privatization proposal. Management just mentioned our G&A costs has increased a lot in first quarter last year largely due to the privatization plan. So can you give us more color on the plan, like the time line and also at what price?
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: [Foreign Language]
Unidentified Company Representative: Okay. So on the privatization proposal, the buying party led by a largest shareholder has withdrawn the proposal. So it's off the table, so that we should not expect the higher legal costs going forward any longer. So this is sort of a onetime event, it's not occurring anymore. As a result, G&A expense should come down going forward.
Tracy Li: Okay. Thank you.
Unidentified Company Representative: Thank you.
Operator: Thank you. There are no additional questions at this time. I will turn the floor back to management for closing remarks.
Kevin Theiss: We want to thank you, everyone, for joining us today, and we look forward to speaking with you after the next quarter. Thank you. Have a good day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.